Operator: Good day, everyone, and thank you for joining us today to discuss Equity Lifestyle Properties Fourth Quarter and Full Year 2021 Results. Our featured speakers today are Marguerite Nader, our President and CEO; Paul Seavey, our Executive Vice President and CFO; and Patrick Waite, our Executive Vice President and COO. In advance of today's call, management released earnings. Today's call will consist of opening remarks any question-and-answer session with management relating to the company's earnings release. For those who would like to participate in the question-and-answer session, management asked that you please limit yourself to two questions, so that everyone who would like to participate has ample opportunity. As a reminder, this call is being recorded. Certain matters discussed during this conference call may constitute forward-looking statements in the meaning of the Federal Securities laws. Our forward-looking statements are subject to certain economic risks and uncertainties. The company assumes no obligation to update or supplement any statements that become untrue because of subsequent events. In addition, during today's call, we will discuss non-GAAP financial measures as defined by the SEC Regulation G. Reconciliations of these non-GAAP financial measures to comparable GAAP financial measures are included in our earnings release. Our supplemental information and our historical SEC filings. At this time, I'd like to turn the call over to Marguerite Nader, our President and CEO.
Marguerite Nader : Good morning, and thank you for joining us today. I am pleased to report the final results for 2021. We began 2021 in an uncertain environment with the Canadian borders closed and changed travel patterns throughout our portfolio. The year progressed to show a heightened demand for our properties and locations. Our teams work each day to accommodate our customers and meet the unprecedented demand. We continued our record of strong core operations and FFO growth with full year growth in NOI of 8.8%, which translated into a 17% increase in normalized FFO per share. Our demographic profile and the increased flexibilities in personal schedules create tailwinds for future growth.  In 2021, our core MH portfolio increased occupancy by 323 sites. We saw an increased demand for home ownership with a gain of 785 homeowners and a decrease in rental occupancy of 462. We saw an increase in the credit quality of our new resins moving in with an average FICO score of 727. We experienced an all-time high for new home sales with an 81% increase from last year with over 1,100 new home sales. Due to the strength of our operating markets, we were able to increase sales prices by 25% for the year. Additionally, we had robust sales activities in used home sales and resales this year. Turning to RVs. In 2021, the demand was strong for RV states across the country. Full year growth in RV income was 13%, driven by annual RV revenue growth of 7%, where we increased core annual RV occupancy by approximately 1,200 sites for the year and transient RV revenue growth of 43%. In the quarter, we saw an increase in RV revenue of 16%. This growth was fueled by marketing campaigns for fall and winter camping opportunities.  The demand continues to accelerate for weekday camping. In the fourth quarter, weekday occupancy increased 18% as customers extended their typical weekend trips into Monday, Tuesday and Wednesday. The extended length of stay was driven primarily by our properties in Florida and California. The trend has been evident throughout the pandemic.  In 2021, our Thousand Trails membership properties performed better than expected. Our dues revenue increased nearly 10% to $58 million. We sold almost 24,000 camping passes, an increase of over 16% from 2020. The channel with the largest increase was our online channel with a 30% increase in sales. Our upgrade sales increased almost $15 million, fueled by the new upgrade product that we launched in the first quarter. Our quarterly survey results show the entry of younger RVers and remote work flexibility has increased interest in our RV resorts and campers. Among those that reported plans to camp more, 26% reported flexibility to work remotely as a driving reason. About two-third of customers and prospects surveyed said that they plan to travel in their RV or stay in a camp more in the coming year than they did last year. Turning to 2022. We have issued guidance of $2.69 at the midpoint for next year, which is a 6% growth in normalized FFO per share. The demand for our MH communities continues to increase. Over the last five years, we have sold approximately 2,600 new homes in our MH communities. These new homes improve the look of the community as the homeowners throughout our portfolio showcase their pride of ownership. We have noticed rent increases for approximately 65% of our residents and anticipate a 4.8% rate growth in core MH rent revenue. Our guidance for '22 reflects the strength in our business. Our guidance is built based on the operating climate of each property, including a robust market survey process and continuous communication with our residents.  In 2021, we have deployed over $800 million of capital. Through these transactions, we added approximately 5,600 RV sites and 4,000 marina slips to the portfolio in 2021. We were pleased to close on the acquisition of MHVillage Datacom. MHVillage is the premier online marketplace dedicated to buying and selling manufactured homes and Datacom provides industry information, including market surveys and manufactured home appraisal reports. Additionally, in 2021, we closed on three parcels of land totaling 725 acres. This additional acreage brings our total undeveloped acres to 6,500. Our vacant land is geographically diverse and will positively contribute to our future FFO growth. Next, I'd like to update you on our 2022 dividend policy. The Board has approved setting the annual dividend rate at $1.64 per share, a 13% increase. The Board will determine the amount of each quarterly dividend in advance of payment. The stability and growth of our cash flow, our solid balance sheet and the strong underlying trends in our business are the primary drivers of the decision to increase the dividend. Historically, we have been able to take advantage of opportunities due to the free cash flow generated by our operations. This new dividend increase of $37 million is roughly equivalent to our anticipated increase in FFO for 2022. In 2022, we expect to have in excess of $110 million of discretionary capital after meeting our obligations for dividend payments, recurring CapEx and principal payments. Over the past 5 years, we have increased our dividend on average 11%.  Since the start of the pandemic, we have asked a lot of our team members. Our team members are focused on providing excellent customer service in the new operating environment. Their results have been impressive, and I'm grateful for their continued energy and excitement that's dedicated to each role. I will now turn it over to Paul to walk through the numbers in detail.
Paul Seavey: Thanks, Marguerite, and good morning, everyone. I will review our fourth quarter and full year 2021 results and provide an overview of our first quarter and full year 2022 guidance. Fourth quarter normalized FFO was $0.64 per share. Strong performance in our core portfolio generated 8.2% NOI growth for the fourth quarter. Core NOI growth of 8.8% for the full year contributed to our normalized FFO per share growth of 16.6%. Core community-based rental income increased 4.7% for the full year compared to 2020. Rate increases contributed 4.2% growth, while occupancy generated the additional 50 basis points. Our 2021 core occupancy increase included a gain of 785 homeowners. The continued strong demand for home sales has reduced inventory available for rental as we have focused on growth and occupancy from home sales. Our rental homes currently represent 5% of our MH occupancy. Full year core resort and marina based rental income increased 12.9% compared to 2020. The growth from annuals was 6.8%, with 4.3% from rate increases and 2.5% from occupancy gains. Full year rent from core RV seasonal was flat to 2020. Strong demand for stays of a month or more drove outperformance in the second, third and fourth quarters and offset the unfavorable impact of travel restrictions in the first quarter. Full year core rent from transient customers increased 43.2% for the year, consisting of 24% from rate and 19% from occupancy. For the full year, net contribution from our membership business was $13.3 million higher than 2020, an increase of 23%. Dues revenues increased almost 10%, reflecting a 3.5% increase in the member base and a rate increase of approximately 6.5%. The increase in average rate includes the impact of dues related to our Trails Collection product which provides access to RV properties outside the Thousand Trails network. At year-end, 18% of our members held a Trails Collection pass. Strong demand for our upgrade products is evidenced by the full year increase in sales volume of 44%. Full year growth in core utility and other income is mainly the result of increases in utility income. Utility income is generated from billings to our customers based on their usage. Our recovery percentage remained consistent in 2021 compared to 2020. Our earnings release and supplemental package includes line item detail for core expenses with comparisons to prior periods for the quarter and full year. Overall, full year 2021 core property operating expenses increased 7.7% compared to 2020. Setting aside sales and marketing expenses that are directly related to the performance of our membership upgrade sales utilities and insurance and other expenses show the highest percentage growth. Overall, we experienced a mid-single-digit rate increase across all utility expense types with usage driving the remainder of the increase. Our utility income recovery rate remained consistent with our historical level at approximately 45% for the year. We've previously discussed the impact of our April insurance renewal, which is the main driver of increased expense in that category. The remaining expense line items generally had inflationary increases in 2021. Our noncore properties contributed $7.9 million in the quarter and $22.4 million for the full year. This group of properties has performed in line with our pro forma underwriting expectations. Property management and corporate G&A were $106.1 million for the full year. Other income and expenses net, which includes our sales operations, joint venture income as well as interest and other corporate income was $20.7 million for the year. And interest and amortization expenses were $108.7 million for the full year. The press release and supplemental package provide an overview of 2022 first quarter and full year earnings guidance. As I provide some context for the information we've provided, keep in mind my remarks are intended to provide our current estimate of future results. All growth rates and revenue and expense projections represent midpoints in our guidance range and are qualified by the risk factors included in our press release and supplemental package. Our guidance for 2022 full year normalized FFO is $2.69 per share at the midpoint of our guidance range of $2.64 to $2.74. We project core property operating income growth of 5.9% at the midpoint of our range of 5.4% to 6.4%. Full year guidance assumes core rent rate growth in the ranges of 4.6% to 4.8% for MH and 5% to 5.2% for annual RV rents. We assume occupancy in our stabilized MH portfolio will be flat to year-end 2021. Our guidance model includes the impact of all acquisitions we've announced and the impact of the debt and equity capital events we disclosed in our earnings release and supplemental package. The full year guidance model makes no assumptions regarding other capital events or the use of free cash flow we expect to generate in 2022. Our first quarter guidance assumes an FFO per share in the range of $0.66 to $0.72, which represents approximately 25% to 26% of the full year normalized FFO per share. Core property operating income growth is projected to be 7.4% at the midpoint of our guidance range for the first quarter. The comparison to prior year is impacted by the results from our RV business, particularly the seasonal RV rent in the first quarter of 2021. Our guidance assumes first quarter seasonal and transient RV revenues performed in line with our current reservation pacing. Our customer reservation trends continue to indicate strong interest in visiting our properties during the remainder of our -- of the winter season. As a reminder, in years prior to 2020, the first quarter represented approximately 50% of our seasonal RV revenues for the year. I'll now provide some comments on the financing market and our balance sheet. As noted in the earnings release and supplemental package, we raised equity from stock sales using our ATM and closed an unsecured term loan to generate total proceeds of approximately $366.4 million. During 2021, we invested cash of approximately $650 million, net of assumed debt and OP units in acquisitions. This investment was funded with available cash and proceeds from our line of credit.  At year-end, our unsecured line of credit balance was $349 million. After using proceeds from our equity and debt capital events, the current line of credit balance is approximately $69 million. Current secured debt terms are 10 years at coupons between 2.95% and 4%, 60% to 75% loan-to-value and 1.4 to 1.6x debt service coverage. We continue to see strong interest from life companies, GSEs and CMBS lenders to lend at historically low rates for terms 10 years and longer. High-quality, age-qualified MH assets continue to command best financing terms. We have approximately $74 million of secured debt maturing in 2022. Our $500 million line of credit currently has approximately $430 million available. Our ATM program currently has approximately $30 million of available liquidity. Our weighted average secured debt maturity is approximately 12 years. Our debt to adjusted EBITDA is around 5.6x, and our interest coverage is 5.5x. We continue to place high importance on balance sheet flexibility, and we believe we have multiple sources of capital available to us. Now we would like to open it up for questions.
Operator:  Our first question comes from the line of Brad Heffern from RBC Capital Markets. Your question please.
Bradley Heffern: Hey, good morning everyone. Thanks for taking my question. I was wondering if you could talk through how the Canadian border reopening has gone so far and how much of a recovery of that is included in the guide. I think it was a roughly $8 million negative impact in the first quarter of '21. So is there a full recovery of that assumed?
Paul Seavey: Yes, Brad, in terms of that comp, you're right, it was $8 million last year. Our guidance anticipates that we recover that with growth in the, I'll call it, mid-to-high teens in terms of a percentage in the first quarter.
Bradley Heffern: Okay. Great. And then on transient RV, obviously, we've seen a lot of tailwinds sort of in 2021. I'm curious, does that continue to be sticky, the new customers that you're seeing there? Any color you can give on that?
Patrick Waite: Yes. It's Patrick. The best way to frame it is around the new transient customers that have been coming into the platform. Just based on recent survey is about 12% of customers new to us are actually new to camping. And with those new customers, they're similar to our current customer base, average age is around 60%.  And what we're seeing is a return percentage, then coming back to our property in the following year or intent to come back to us in the following year is around 20%. That's a lift from pre-pandemic where that return percentage was in the neighborhood of 15%. So they're more sticky customer than we've seen historically. And other surveys that we have indicated that 60% of RVers intend to camp more in 2022 than in 2021. So directionally, the customer behavior is favorable for us.
Marguerite Nader: And I think, Brad, as I pointed out in my comments, just that weekday, midweek camping activity has increased. I think Wednesday was the highest that we had for the quarter, which is about a 23% growth in nights year-over-year. And I really think that the flexibility in work schedules that positively impacts those results, and we anticipate that those that, that would continue in terms of people having continued flexibility in their work schedules.
Bradley Heffern: Great. Thank you.
Marguerite Nader: Thanks Brad. 
Operator: Our next question comes from the line of John Kim from BMO Capital Markets. Your question please. 
Marguerite Nader: Good morning, John. 
John Kim: Hey, good morning. Can you just clarify what the transient RV growth was in the fourth quarter? I think you said for the year, it was 43% and for the quarter, it was 16%. I just wanted to make sure that was the case. But also on guidance for the year, what are you expecting as far as transient RV revenue and Thousand Trail membership and upgrade sales?
Paul Seavey: So to your first question, John, the transient RV growth for the quarter was up 26%. And then... I'm sorry?
John Kim: Is that a fair run rate for the year?
Paul Seavey: On a go-forward basis? 
Marguerite Nader: Is the -- you're asking for the transient run rate for the year. Is that what you're asking, John?
John Kim: Yes. Yes. Exactly. It's tied into the original question as far as guidance.
Paul Seavey: I guess I'll say as we're looking at customer behavior, it's quite different this year as compared to last year, right? There's -- last year, the travel restrictions created some challenges for us in the first quarter also translated into shorter stays relative to a shorter booking window, I should say, relative to what we're seeing this year. But for first quarter, we're anticipating mid-single-digit increase over what we saw, which was 15% last year.
Marguerite Nader: And John, similar to what we've had in years past, the transient activity it really takes a little bit more time to appreciate where it's going to be as the quarters go forward. So we have less visibility into that. And so that's why similar to what we've had in the past, that's kind of where we're at.
John Kim: Okay. And then as far as the expense growth that you have in guidance, it was up significantly in 2021 and you expect it to moderate this year. I wanted to ask particularly about the payroll costs because that was really kept moderate at 2% for the quarter. Just given inflationary aspects to payroll, I was wondering how you were able to maintain that and how you see it going forward.
Paul Seavey: So John, let me just speak to our expense growth assumption overall. We built that in a manner really was similar to the rest of our budget, which is bottom up. We start at the property level and look at what we expect and roll all that up. When we have done that, then we take a look at the whole portfolio to understand what it's telling us about the growth and the expectations that we have. And we then frame it. And I think about the disclosure that we provided in our supplemental and the line item detail. If you look at 2021, you can see utilities payroll and R&M those 3 line items combined represent almost two-third of our operating expenses on a full year basis.  And when we think about the assumptions, there's obviously a revenue element to it and our expense assumption in the budget and in our guidance, maintains a consistent percent of revenues for that on a combined basis that two-third of our expense base. And so as we think about the business and how we might perform going forward, we may see some fluctuation in particular line items and some variability as our actual 2022 revenues may differ from the numbers that are in our guidance.
John Kim: And payroll in particular?
Paul Seavey: We're not providing that level of line item detail, John. I'd say that with respect to payroll, we're focused on the attraction of our employees -- attraction of employees to fill open positions that we have, and that's resulting in market increases. We've talked quite a bit about the experience that we've had in recent years, and we think that, that mitigates some of the outsized rate growth that is being discussed kind of broadly.
Marguerite Nader: And maybe, Patrick, you can just touch on some of the operating conditions at the property level with respect to payroll.
Patrick Waite: Yes. John, similar to covered in the last couple of earnings calls, we have to -- I think the part of your question, have experienced some open positions at the property level. And some of that is really focused on our RV properties, and particularly a seasonal component. So as you've peaked during the summer season, we're in a little bit of a shoulder, and we're going to go into a peak in the Sunbelt season here and the ramp-up to that currently. And what our property operating teams have done in order to address some of those challenges in filling open positions is cross-training and sharing responsibilities.  The net result of that is we have consistently high customer service scores, which I'd like to underscore for our property teams, they've done a fantastic job navigating some of those challenges through the summer season and then as we're working our way into the Sunbelt season.
John Kim: Thanks, and apologies for going over to two questions. 
Operator: Our next question comes from the line of Michael Goldsmith from UBS. Your question please. 
Michael Goldsmith: Thanks a lot for taking my question. As we think about ELS' NOI algorithm, the 2022 guidance for core NOI growth is 5.4% to 6.4%. That's a deceleration from the 8.8% generated in 2021. But that's still elevated on a difficult comparison relative to maybe the 3 years prior to the pandemic, which is around 5%, 5.1%. So should we think about ELS' NOI algorithm going forward as fundamentally stronger than maybe it was prior to the pandemic?
Marguerite Nader: I think if you break down the pieces between MH and RV, we've kind of highlighted our MH rent growth. So you can see that and how that's changed over time, which is a significant component to the NOI growth and certainly to the MH revenue. The strength in annual RV annuals, both in rate and growth is seen in the numbers that we've put out for guidance.
Michael Goldsmith: But if -- I guess the question is, is there kind of like -- is there something else fundamentally different that can kind of sustain this new elevated algorithm going forward. Is there anything else to sustain this algorithm?
Marguerite Nader: I mean I think it's the components that I just highlighted and continued strength in our RV platform, both on the Thousand Trail side and in our on-core business.
Michael Goldsmith: Okay. And then on the RV side, in particular, expectations for 2022 core RV rate growth kind of moved up slightly from November. What was driving that? And then just in general, with RV pricing going up, annual rents moving higher, demands elevated there's increasingly sophisticated pricing algorithms that are there to maximize revenues. Is there a risk that this affordable form of vacationing becomes less affordable and maybe the core customers alienated?
Paul Seavey: So Michael, as to the 10 basis point change, when we released our preliminary RV annual rate growth in October, we said that 95% of our residents have been notified of their increases effective in 2022. And since that time, there was a change in the mix of our occupancy, a slight change. It did increase our annual rate expectations because of that.
Marguerite Nader: And Michael, as it relates to just pricing in general, we have -- our reservation system provides a dynamic pricing feature that really is based on a demand on a per property basis. So certainly, we watch the demand and then the rates are reflected in that. I think that the RV lifestyle is still a very affordable vacation option and will continue to be so. But it's certainly something that we look at what's happening in the market. But right now, we see real strength. We have about -- there's about 11 million RVers on the road, another 40 million outdoor enthusiasts, and there's a little over 1 million RV sites. So those are pretty good numbers for us as we bring customers into our properties.
Michael Goldsmith: Thank you very much. Good luck in 2022.
Marguerite Nader: Thank you, Michael. 
Operator: Our next question comes from the line of Keegan Carl from Berenberg. Your question please. 
Keegan Carl: Hey guys, thanks for taking the time. Can you just give us some more detail on the MHVillage and Datacomp acquisition? What's the rationale behind it? How do you guys envision impacting your long-term MH acquisition pipeline, if at all?
Marguerite Nader: Sure. So I think maybe it's helpful to provide a little background on the strategy behind the acquisition. So we've worked with this team at MHVillage for over 25 years. We've listed our new and used homes on the site, and it's really been a primary source of our new resident leads. And the MHVillage business they began back in, I guess, 25, 26 years ago as a website really dedicated to listing homes and they've grown to where now they have 25 million unique visitors with 80,000 homes are sold each year with, I think, a combined transaction value of about $3 billion. And then on the Datacomp side, they provide manufactured home value reports and price information appraisal reports. And they really expressed an interest in a transaction where the shareholder would sell and then the seasoned management team would remain on and continue to operate that business. So we were really excited to be able to do that and work closely with the MHVillage. I think it's going to operate similar to what it's done in the past, which is continue to operate and offer long-standing customers the ability to access the leads.
Keegan Carl: And I guess just to follow up the second part of that question, I mean, do you guys think it's going to impact your acquisition pipeline at all, just kind of given the relationships with other parties that might sell their homes on that platform?
Marguerite Nader: It's more about one-off sellers selling individual homes than about the communities.
Keegan Carl: Okay. And just kind of switching gears here, 2-part question on acquisitions. First, within the quarter, could you disclose the cap rate on the additional transactions you've done? I mean as far as 2022, any commentary around the pipeline and sort of competition you're seeing within the different business segments you participate in?
Marguerite Nader: Sure. So in the quarter, the cap rates that we closed, they blend out to about a 5.5% cap rate. The properties are really -- they're well located in areas where we've been looking to increase our footprint as well as new locations for us. And in terms of just the pipeline in general, I'd say, as we head into 2022, our investment team is really focused on opportunities in MH, RV and marinas. And as we have contracts -- right now, we have contracts in various stages. And as we disclosed -- as we close on those, we will disclose that.
Keegan Carl: Great. Thanks for your time. 
Operator: Our next question comes from the line of Nick Joseph from Citi. Your question please.
Nicholas Joseph: Thanks. Marguerite, maybe following up on the MHVillage Datacomp acquisition. Can you walk through the valuation of that deal? 
Marguerite Nader: Sure. So the MHVillage, the model, maybe just talk a little bit about the revenue model. It's really built around home listing fees. The owners pay a list of homes on the website. The site is free for the consumers to browse. And then Datacomp is about, I think, 85% of the revenue is from appraisal reports. The valuation was roughly 9x EBITDA, and our guidance includes the impact of that.
Nicholas Joseph: Thanks. That's helpful. And then you mentioned, I think, 6,500 acres for expansion. And obviously, you've been adding to that. What are the expectations either in guidance or maybe it's outside of guidance, but what you expect to do in terms of expansions this year in 2022?
Marguerite Nader: Sure. Maybe, Patrick, if you could walk through that.
Patrick Waite: Yes, Nick, for the full year 2021, we delivered a little over 1,000 sites. The mix of RV and MH and skewing towards RV. We look forward to the 2022 pipeline. That's going to come in, we expect between 1,000 and 1,100 sites again skewing towards RV. And we feel that in addition to the acquisitions, we've talked for many years about our inventory of available land we should be able to sustain that level of developments for the next several years.
Nicholas Joseph: Thanks. Is there anything from a supply chain constraint or labor constraint that would slow it down? Obviously, you the land, but are there any other variables that we should be aware of?
Patrick Waite: We're navigating those currently, and we've been able to sustain this level of development working with our internal development team as well as outside resources in the form of project managers and general contractors to navigate some pressures that they have with respect to staffing and some of the pressures they have with respect to their subs.  And we have seen some pressure on development costs as well. Commodities, lumber, steel, concrete has been relatively stable. And we've seen some more favorable trends in lumber recently that those pressures are out there. And maybe they'll impact it at the margin. But for the most part, we're pretty confident about maintaining that level of development.
Nicholas Joseph: Thank you very much.
Operator: Our next question comes from the line of Samir Khanal from Evercore ISI. Your question please. 
Samir Khanal: Marguerite, you were quite active in the fourth quarter in terms of the acquisition. I'm just trying to kind of get to sort of a volume level for '22, right? I mean, is that the right quarterly run rate to think about for '22, considering how active you were in the fourth quarter?
Marguerite Nader: Yes. I think, Samir, what we did in the fourth quarter was really took advantage of some timing that the sellers at the time wanted to close then. So that was just something that they were wanting to do at the end of last year. I think, we generally don't share, like I said, the acquisition pipeline. As you look at 2022, we do have deals that are in various stages, but it's not something that we guide towards.
Samir Khanal: Got it. And I guess, Paul, just in terms of G&A for next year, is that -- I mean considering inflation and wage pressures. I mean, is that corporate G&A side? Is that something that could even grow more than -- it's been somewhat muted, right? And I'm just trying to figure out from a modeling perspective how to think about that line item.
Paul Seavey: Yes. I think, generally speaking, you would see consistency with a bit of pressure on the payroll side, but also the recovery will result in travel expense that we really haven't had since the first quarter of 2020. So that will factor into the comparison. And then we do have our continued investment in technology, which contributes to growth in that line item.
Samir Khanal: Got it. That’s it for me. Thank you.
Marguerite Nader: Thanks Samir. 
Operator: Our next question comes from the line of Anthony Powell from Barclays. Your question please.
Anthony Powell: Hi, good morning. Questions on acquisition. So they skewed towards, I guess, RV and Marina over the last year. Was that just by chance? And do you think the lack of any change in the tax code, maybe preventing some sellers going to market given an increased capital gains tax have been a primary motivator for some people?
Marguerite Nader: Yes. I think that was more of a just the way it worked out. It really -- I don't think you can take anything away from not doing anything on the MH side. I think there's a lot of -- continue to be a lot of opportunities. And it's really for the sellers, what's the appropriate time frame, either from a tax perspective or mainly from their own family perspective and when they want to sell.
Anthony Powell: Got it. You talked a lot about the midweek increase in occupancy for RV and that's how that continues in 2022. What's your long-term view on that part of the business? Is there any risk that that may kind of reverse or tail off as things hopefully more normalize with COVID over the medium to long run?
Marguerite Nader: Yes. I think that there is -- I think for the next 6 months or so, I think we're still going to be in that same type of position where there will be increased activity. But of course, we'll be working off of different comps because the comments we're working off the last time didn't have that activity. But I think that there will continue to be flexibility in people's schedules, maybe it ends up being more of a Friday, Monday kind of flexibility, but I think that flexibility will exist, and we will be the beneficiaries of that flexibility.
Anthony Powell: Was there like a total, I guess, revenue number or NOI number that you think you can distribute to a better mid-week occupancy in 2021?
Marguerite Nader: I don't have that number here, but we can circle back with you and provide that to you.
Anthony Powell: Got it. Thank you.
Operator: Our next question comes from the line of John Pawlowski from Green Street. Your question please.
John Pawlowski: Thanks. Marguerite, on the margin, are you seeing private competitors become more active on building expansion sites, either on the RV or MH businesses?
Marguerite Nader: We have seen, I would say, on the MH business, there's not a whole lot of activity. In fact, there's some development, but there are some MH being brought kind of offline and maybe changed to an alternative use. On the RV side, there is more expansion activity than we've seen in the past, not something that is an overwhelmingly large number in terms of an increase to overall supply, but it is more than what we've seen in the past and consistent with what we're doing more than we've done in the past as well.
John Pawlowski: Okay. Paul, you mentioned the forward reservation pace for the RV business is strong. Could you just quantify for us how far above or below we are today versus a year ago?
Paul Seavey: Sure. In terms of the transient, I think we're up about 20% ahead of where we were last year. But again, I want to be careful on that because just the timing of those reservations from year-to-year was meaningfully different. So as we translate it into revenues, I'll just restate last year, we saw about a 15% increase. And we think we're going to see a mid-single-digit increase over that when we look -- think about the first quarter transient.
John Pawlowski: Okay. Final question for me. Patrick, you acquired the big marina portfolio almost a year ago. Can you give us a sense for NOI growth for that portfolio in the second year of ownership as expected?
Patrick Waite: Sure. Based on the performance that we've seen over the last year, and I've covered it from our view of the business in earlier earnings calls. But the -- a reminder that 90% of that revenue comes from the core slip rental business. And that is well into the high 90%, a very stable annual customer. So those occupancies have been holding in the 90% range very consistently. And we're able to get in the neighborhood of 3% to 4% rate growth year-over-year. There's some marginal opportunity for occupancy and grid management. We expect to see some upside in rates in particular submarkets. And then from an expense perspective, that run rate business with some of the pressures that we've seen in our other core businesses on insurance and real estate taxes as an example. So a 4% expectation at the NOI line for the marina business is kind of where we're at, and it's driven by that core stable top line.
John Pawlowski: Okay. Thank you.
Operator: Our next question comes from the line of Josh Dennerlein from Bank of America. Your question please. 
Joshua Dennerlein: Just maybe just wanted to hear kind of more of your thoughts on the business rationale for MHVillage and Datacomp acquisition. Like how do you feel like that fits into your overall strategy going forward? Hello.
Operator: Yes. Yes, I hear you. Ladies and gentlemen, please remain on your line. Your conference call will resume momentarily. Once again, please remain on your line. Your conference call will resume momentarily. Once again, ladies and gentlemen, please remain on your line, your program will resume momentarily.
Operator: Ladies and gentlemen, due to unforeseen circumstances, we will be concluding the program at this point in time. Thank you, ladies and gentlemen for your participation. Everyone, have a great day.